Operator: Ladies and gentlemen, thank you for standing by, and welcome to NetScout's Fourth Quarter and Full Fiscal Year 2024 Financial Results Conference Call. At this time, all parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this call is being recorded. Tony Piazza, Senior Vice President of Finance and his colleagues at NetScout are on the line with us. [Operator Instructions] I would now like to turn the call over to Tony Piazza to begin the company prepared remarks.
Tony Piazza: Thank you, operator, and good morning, everyone. Welcome to NetScout's fourth quarter and full fiscal year 2024 conference call for the period ended March 31, 2024. Joining me today are Anil Singhal, NetScout’s President and Chief Executive Officer; Michael Szabados, NetScout’s Chief Operating Officer; and Jean Bua, NetScout’s Executive Vice President and Chief Financial Officer. There is a slide presentation that accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page under financial results, the webcast itself, and under financial information on the quarterly results page. Moving on to slide number 3, today’s conference call will include forward-looking statements. Examples of forward-looking statements include statements regarding our future financial performance or position, results of operations, business strategy, plans and objectives of management for future operations, and other statements that are not historical fact. Actual results could differ materially from any forward-looking statement. These statements speak only as of today's date and involve risks and uncertainties including but not limited to those described on the slide and in today's financial results press release, which are available on the Investor Relations section of our website as well as in the Company's most recent annual report on Form 10-K and subsequent SEC filings, on file with the Securities and Exchange Commission. Netscout assumes no obligation to update any forward-looking information except as required by law. Let’s now turn to slide number 4, which involves non-GAAP metrics. While this slide presentation includes both GAAP and non-GAAP metrics, unless otherwise stated, financial information discussed on today’s conference call will be on a non-GAAP basis only. The rationale for providing non-GAAP measures along with the limitations of relying solely on those measures is detailed on this slide and in today’s press release. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics with the applicable GAAP measures are provided in the appendix of the slide presentation in today's earnings press release and on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Tony, and good morning, everyone. Welcome and thank you for all for joining us today. In fiscal year 2024, strong cybersecurity revenue growth was a highlight for NetScout as customers continue to prioritize cybersecurity spending amidst heightened geopolitical tensions and expanding cyber threat landscape. This strength was more than offset by the constrained customer spending environment, affecting our service assurance offerings, primarily related to our domestic service provider or customers. Despite the top line headwinds, our diligent cost containment actions and flexible cost structure contributed to non-GAAP earnings per share growth year-over-year. With that as a backdrop, let's now turn to slide number 6 for a brief high-level recap of our non-GAAP financial results for the fourth quarter and full fiscal year 2024. Jean will provide more detail on the results later in the call. For the fourth quarter, we delivered revenue of approximately $203 million, down 2% and non-GAAP diluted earnings per share of $0.55, up $0.17 or approximately 45% both on a year-over-year basis. For the first full fiscal year 2024, we delivered revenue of approximately $830 million, representing a decline of approximately 9% year-over-year due in part to a lower level of service assurance, radio frequency propagation modeling project revenue compared to an unusually high level in fiscal year 2023. When excluding the radio frequency propagation modeling project revenue from total revenue decline was approximately 3% year-over-year. From a non-GAAP EPS perspective, for the full fiscal year 2024, we delivered $2.20 per diluted share a $0.02 or approximately 1% improvement over fiscal year 2023. We achieved this result despite the revenue headwinds, partially due to our cost containment actions taken during the fiscal year. Now let's move to slide number 7, for some further perspective on business and market insights. Starting with our Service Assurance offerings -- Starting with our Service Assurance offerings, in fiscal year 2024, Service Assurance revenue declined approximately 18% year-over-year, this was primarily attributable to lower radio frequency propagation modeling project revenue year-over-year as well as constrained spending from the domestic Tier 1 carrier market, as previously discussed. Excluding the impact of radio frequency propagation modeling project revenue, service revenue -- service assurance revenue were down approximately 11% year-over-year. As we consider the demand dynamics for the service assurance offering moving forward, we continue to see customers being cautious as budgets remain tight and the number of required approvals remains elevated. While we expect relative stability in the enterprise vertical as customers continue to prioritize mission critical solutions and monitoring at the edge. We believe the ongoing headwinds in the service provider vertical will persist for much of the fiscal year 2025. The demand dynamic for service provider there is an issue that is primarily domestic. Domestic service provider remain cautious in their spending decisions, as 5G stand-alone infrastructure deployed has not yet delivered a return on investment with network traffic below capacity and no material new application driving increasing demand. This has caused providers to delay significant further investment until a monetization strategy becomes clearer to obtain acceptable returns on the investments. Strategically we continue to be ready to support both the domestic and international carriers, as the carrier -- customer demand market -- customer demand market progress and as emerging network technology trends gain momentum. For example, fixed wireless access has been a promising long-term opportunity although service providers currently already have the bandwidth to support recent deployments. Additionally, networks likely also, offers long-term opportunity for NetScout, but is still in early stages. We are also encouraged by 5G investment activity at the International carriers. While international carrier spending levels tend to be lower than the domestic market, they remain an important contributor to long-term growth. Finally, NetScout is actively taking early steps to bring a new value proposition of originated as it collaborates with customer to fund fully unlocked that unlock the critical value of our smart data generated from our DPI technology. This will lead to end the increasing needs and requirements are merging AIOps strategies, toolset and applications. In the future we intend to -- we intend to be an important contributor to this emerging technology market, as we make our smart data available for customer AI use cases in partnership with other technology innovators industry. Shifting to our cyber security offering, in fiscal year 2024, our cybersecurity offering delivered approximately 15% revenue growth year-over-year which was the result of growth in both our Service Provider and Enterprise Customer Verticals. In addition, we believe customers prioritize spending amid heightened geopolitical tensions and expanding threat landscape. As revealed in our recently released DDoS, Threat Intelligence Report, political motivated activist groups and an increase in DNS Water Torture attack contributed to over seven million DDoS effect globally in the second half of 2023. This is an increase of 15% from the first half of the year. With this high activity threat landscape, companies are increasingly depending on NetScout for their cybersecurity protection needs. As we look to fiscal year 2024, we believe the value proposition of our solution should continue to resonate with customers and expect our core as well as new offerings such as Adaptive DDoS, Mobile Security and Omnis Cyber Intelligence Solution to fuel continued momentum in this space. Michael and Jim will provide more insight regarding customer wins as well as product offering and customer vertical performance during the remarks. Now let's move to slide number 8 regarding our outlook and summary. As we look forward to fiscal year 2025, we are encouraged by the momentum in our cybersecurity offerings. We have begun to take further actions that will enhance our focus on cybersecurity. This include increased R&D spend, R&D investment as well as go-to-market strategy modification. Also, we recognize the lingering headwinds in the domestic service provider vertical of what service assurance offering. This will likely create a top-line offset resulting in a flat to slightly down revenue scenario for the new fiscal year dDespite the continued growth in our cybersecurity offerings. We continue to align our cost structure with the current demand environment. We have implemented a voluntary separation program as part of the restructuring efforts focused on reducing headcount as we seek to execute on our strategic priorities with our earnings for shareholders and position NetScout for long-term success. Jean will provide more specific on the – in the outlook in her remarks. Netscout has always been and remains a long-term focused company and we believe we are well-positioned to benefit from future fundamental demand trends as enterprise and service providers request a leading cybersecurity and service assurance solution to deliver actionable visibility at scale. We remain confident that our visibility without Borders platform is essential for helping customers tackle the performance, availability and cybersecurity challenges of the increasing -- increasingly complex connected digital world as we also remain committed to delivering long-term shareholder value. We look forward to sharing our progress with everyone on our quarterly earnings calls. With that I will turn the call over to Michael.
Michael Szabados: Thank you, Anil and good morning, everyone. Slide 10 outlines the areas I will be covering today. Starting with Customer Wins highlights in the fourth quarter. In our cybersecurity offering we secured a multiple seven-figure related -- multiple seven-figure DDoS related deals with both new and existing customers across various geographic markets and industry sectors as customers continue to prioritize investments that protect them against the expanding cybersecurity threat landscape. For example, we've won a low seven-figure deal as we acquired the new financial industry enterprise customer in the Middle East. We had been engaged with this customer over multiple years pitching the value proposition of our leading DDoS capabilities, while they were leveraging our competitors' managed service. Although, an unfortunate catalyst, the customer experienced a challenging cyber attack and we were able to quickly demonstrate our superior capabilities during the situation. This persuaded customer to buy a full solution suite in a multi-solution purchase with us that include the Arbor Edge Defense, Arbor Cloud, managed services and the resident engineer bringing the capability on-prem and in-house for better control of the cybersecurity defenses. Shifting to our Service Assurance offering. And particularly the service provider vertical, we continue to benefit from contracts in support of 5G deployments, upgrades and capacity expansions both domestically and internationally albeit at a somewhat muted base given the constrained spending environment in this customer vertical. One example win, during the quarter was a 5G related mid-teens eight-figure deals with a leading Asian Tier 1 service provider that we already support with our solutions through prior 4G network efforts. Given our strong historical performance and incumbent relationship, they selected NetScout to provide visibility for their 5G networks. In the bigger picture we believe the deal is the first of other potential opportunities with this customer as they expand their 5G network in the future. Turning to our go-to-market activities. We attended Mobile World Congress -- end of this year in Barcelona in late February, where we held many productive meetings with existing and prospective customers to discuss our latest offerings including service assurance AIML analytics and cybersecurity solutions related to 5G network visibility and cyber security requirements. More recently in May we attended the RSA Security Conference in San Francisco where we showcased our cyber security solutions and have valuable meetings with existing and prospective customers. In June, we will head to Las Vegas for Cisco Live as well as the Splunk user conference, and look forward to meeting with customers and partners both current and prospective and demonstrating our visibility, without Borders platform offerings. In our effort to expand our market presence. We recently entered into a technology alliance with Palo Alto Networks, which includes other companies such Nvidia in order to help customers protect against cyber-attacks in the nascent private 5G network space. This is a good example of the type of value-creating alliances, we are establishing to benefit our customers and our business prospects. This concludes my remarks. Thank you everyone. I will now turn the call over to Jean for review of our financial results.
Jean Bua: Thank you, Michael and good morning, everyone. I will review key metrics for our fourth quarter and full fiscal year 2024, and provide some additional commentary on our fiscal year 2025 outlook. As a reminder, this review focuses on our non-GAAP results unless otherwise stated and all reconciliations, with our GAAP results appear in the presentation appendix. Regardless, I will note the nature of any such comparison. Slide number 12, details the results for the fourth quarter and full fiscal year 2024 for focusing on our quarterly performance total revenue was $203.4 million, down 2.2%. Product revenue was $89.4 million, a decrease of 2% while service revenue was $114 million, a decrease of 2.4%. All comparisons on a year-over-year basis. Gross profit margin was 77.2% in the fourth quarter down 0.4 percentage points year-over-year. Quarterly operating expenses decreased 8.3% year-over-year primarily due to cost containment efforts. Accordingly, we reported an operating profit margin of 19.2% compared with 15.7% in the same quarter last year. Diluted earnings per share was $0.55, up 44.7% from $0.38 in the same quarter last year. For the full fiscal year 2024, revenue was $829.5 million, which was a decrease of 9.3% over the prior year for the reasons previously stated. Product revenue was $360.4 million, a decline of 20% and service revenue was $469 million, an increase of 1.1% over the prior year. Gross profit margin was 79.4%, an increase of 1.9 percentage points. The improved gross profit margin is attributable to less contribution from lower margin radio frequency propagation modeling project revenue and lower variable compensation expenses year-over-year. Annual operating expenses decreased 6.1% from the prior year, primarily due to previously mentioned cost containment actions. We reported a consistent operating profit margin year-over-year of 22.6%. Diluted earnings per share was $2.20, a 0.9% increase year-over-year primarily driven through cost containment actions. Additionally, we had an investment valuation increase in the minority held investment with a favorable tax treatment. This in combination with the finalization of certain tax positions, reduced our annual tax rate to 17.2%. Turning to Slide 13, I will review key revenue trends by product lines and customer verticals. Please note, that all comparisons here on are on a year-over-year basis consistent with our other remarks. For the full year of fiscal year 2024, our cyber security revenue increased by 15.3% while our service assurance revenue decreased by 17.8% for the reasons Anil previously mentioned. During the same period, our service assurance product line accounted for approximately 67% of our total revenue while our cybersecurity product line accounted for the remaining 33%. Turning to our customer verticals. For the full fiscal year 2024, our enterprise customer vertical revenue was consistent with the prior year, while our service provider customer vertical revenue decreased 17.7%. During the same period, our enterprise customer vertical accounted for approximately 53% of our total revenue, while our service provider customer vertical accounted for the remaining 47%. Turning to Slide 14. This shows our geographic revenue mix. For the full year fiscal 2024, 57% of our revenue was derived from the United States with the remaining 43% provided by international markets. Regarding the mix shift versus a year ago, international fiscal year 2024 revenues benefited from growth in both cyber security and service assurance offerings, while domestic revenues were primarily impacted by the headwinds related to the Tier 1 domestic service providers as previously discussed. Also no customer represented 10% or more of our total revenue in the fourth quarter or for the full fiscal year 2024. Slide 15 details our balance sheet highlights and free cash flow. We ended the fourth quarter with $424.1 million in cash, cash equivalents, short and long-term marketable securities and investments, representing an increase of $94 million since the end of the third quarter of fiscal year 2024. Free cash flow for the year was 52.5 million. And from a debt perspective, we ended the fourth quarter of fiscal year 2024 with $100 million outstanding on our $800 million revolving credit facility which expires in July 2026. Also, for the full fiscal year 2024, we repurchased approximately 1.8 million shares of our common stock for approximately 50 million. We currently have capacity in our share repurchase authorization and subject to market conditions planned to be active in the market during the first half of the fiscal year 2025. To briefly recap other balance sheet highlights. Accounts receivable net was $192.1 million, representing an increase of $48.2 million since March 31, 2023. The DSO metric at the end of the fourth quarter of fiscal year 2024 was 81 days versus 58 days at the end of fiscal year 2023. The higher DSO metric in the fourth quarter of this fiscal year was due to the timing and composition. Moving to Slide 16 for commentary on our outlook, I will focus my review on our non-GAAP targets for fiscal year 2025. We anticipate our fiscal year 2025 revenue to be approximately $800 million to $830 million. We anticipate non-GAAP diluted earnings per share within the range of $2.10 to $2.30 with the midpoint flat year over year. The effective tax rate is expected to be approximately 20%, as we return to a normalized effective tax rate. Our weighted average diluted shares outstanding is assumed to be approximately $74 million shares which does not currently assume any planned repurchase activity. NetScout's fiscal year 2025 guidance reflects the Company's anticipated benefits associated with the previously mentioned voluntary separation program, restructuring actions and ongoing cost management initiatives. In conjunction with these actions, the Company expects to record GAAP restructuring charges primarily in the first quarter of fiscal year 2025 attributable to one-time separation payments in the range of approximately $18 million to $22 million in aggregate. The Company expects that these actions will generate annual run rate savings in a similar range with approximately 75% of the benefit expected in fiscal year 2025, due to the timing of these actions. This is an estimated range and will be finalized as the program is completed. Finally, I would like to provide some color for the first half of fiscal year 2025. Assuming the midpoint of our revenue range, we anticipate a revenue skew of approximately 45% in the first half of the fiscal year and 55% in the second half. This is primarily attributable to the prior fiscal year's first quarter benefiting from the usage of approximately $35 million to $40 million from backlog. Accordingly, we expect first quarter of fiscal year 2025 revenue to be in the range of 165 million to 175 million. As a result, we expect corresponding non-GAAP earnings per share in the range of $0.08 to $0.17 due to the continued cost containment efforts partially offsetting the revenue backlog usages impact. That concludes my formal review of our financial results. Before we transition to Q&A I'd like to quickly note that our upcoming IR conference participation is listed on Slide 17. Thank you and I'll now turn the call over to the operator for questions. Madison?
Operator: Thank you. [Operator Instructions] We will take our first question from Matt Hedberg with RBC Capital.
Dan Bergstrom: Yeah. Hey, good morning. It's Dan Bergstrom for Matt Hedberg. Thanks for taking our questions. Just on the prepared remarks and trends around service provider spending. Anil, I know you spend a lot of time with those Tier one carriers. Maybe what are you hearing from them as far as budgeting for the new year here, and then maybe could you contrast what you're seeing from them with international and demand beyond the Tier 1?
Anil Singhal: Yeah. So overall, Matt on the if you look at that top 10 provider in the world out of them but eight or nine other big customers of NetScout. So their budget cycles are different. And this quarter we had we benefited from some big orders in the international side and they are often lumpy. But overall I think budgets are -- I mean the numbers we had last year our big bookings seem to be stabilizing. And if we didn't have the overhang for the revenue from the calibration stuff from last year, I think we have this area is stabilizing. Budgets are not increasing they're still tight. And second thing is what we are hearing is that our technology can be redeployed or used for a different purpose. And we announced our Omnis AI offering in about six months ago. And so we think that we can drive additional opportunities in that area because we have already on the network and we already have the technology which we can use or repurpose for AIOPS solution. And that's where I think some more demand will be there. At the same time, we have to be selling to a different buyer. So there are some benefits of being in that account and that's what we are hoping that we will use it to stabilize or perhaps even grow that service assurance plus AI business and then and the growth with the rest of the growth will come from cybersecurity.
Dan Bergstrom: Great. And then with cybersecurity there, could you dig a little deeper into some of the areas that you're leaning into a bit more here this year?
Anil Singhal: So I think if you look at our main bulk of the revenue up till now has been into our body dose area a company we acquired sometime ago, but we never integrated them until about two years ago into the main business. So in addition to the traditional core business of DDoS which is it seem to be doing like flat to up. There are two other areas, one is bringing our DPI technology to the DDoS world and that's what we have been calling adaptive DDoS and there are some more things we are doing there. The second area is a brand new product in the NDR space we have players like that race and rack tried some other companies have been playing and that's the Omni Cyber Intelligence growth. So you can see in summary basically we have the core business of DDoS. We have the new adaptive DDoS solution using some technology from the service assurance side and third is the Omnis cybersecurity in the NDR market. The last year's numbers is mostly in the first category. And so we think that now the solution is maturing in the second and third category and that's why we are sort of bullish about continued growth in this area.
Dan Bergstrom: Great. Thank you.
Operator: Thank you. And we will take our next question from Kevin Liu with K. Liu & Company.
Kevin Liu: Hi, good morning. Just on the service provider side of things. I was wondering, Anil, if you could talk a little bit longer term beyond this current year. Do you think this is just kind of a pause in terms of their customers your customers' capital deployment Or do you still see that there being a lot of opportunity around the development of new services like fixed wireless access and other applications that maybe just aren't flowing through the network?
Anil Singhal: Yeah. I see Kevin, a lot of interest in that area, but there's still a challenge of budget and some -- there are people in the industry saying that, AIOps is the new name for ITOps. But it appeals to different buyers. And even in the fixed wireless case there are traditional service assurance use cases which is almost all of our business in the carrier but there are other cases of misuse of bandwidth and which while in the AIOps area. So that's what we think that is the additional opportunity. 5G will continue to pick up in different parts of the world and it will keep a big portion of the core business growing. And there will be additional opportunity which is adjacency in the market even though there is slightly different buyer in that market for AIOps. So we look at both in the service assurance for enterprise as well as service provider that some of the markets will move into the AIOps area. And we think that we have the best contacts and technology already in place.
Kevin Liu: Understood. And could you just elaborate a bit on that AIOps opportunity. How is kind of the usage of your products different in that market versus what you've traditionally done for the wireless provider?
Anil Singhal: Yeah. So for example, the use cases are unlike international looking at end user experience for subscribers both internal and external audiences. In the traditional service assurance area, people could look at some high value customers differently and who are better calling plans were willing to pay more and they may need a different level of service. There could be abuses of bandwidth on the fixed wireless side which could impact all the users on the radio access network. So those are technically fall into the AIOps area and they are not traditionally for direct end user experience. So then there are things in the Cybersecurity area with waterline on layoffs where you want to get visibility onto all the hackers not just they're hacking activity. So there is a whole bunch of use cases. Slicing also technically it can be put in the AIOps area. So there are about 20 or so new use cases besides and also we have been going over in terms of end user experience and service triage and moving more from troubleshooting entry adding to analytics which is more appealing to businesspeople. And I think that's why I say it can command higher level of interest and budgets.
Kevin Liu: Great. Thank you for that color. And if I could just sneak in one more on the cybersecurity side, can you talk a little bit about how much of your business over the past year might have been directly attributable to the some of the geopolitical conflicts going on. And as you're thinking about your customer spending for this year, would you expect that buying to be kind of repeated from your existing customers? Or do you have to go out and acquire new customers? Thank you.
Anil Singhal: Yeah. I think if it might be and it's very hard to know what is directly attributable because we don't have a special like option for that. But yeah, there was the impact. But overall that the DDoS attack and cyber attacks are rising everywhere and for various reasons. And now we have elections coming. We have Olympics coming in France. And so all these events up are the sort of opportunity for hackers to go after. So we are seeing interest in that area for example, in the Europe area called the Olympics and say in U.S. elections. So I think we can call them all geopolitical I mean events in some sense. But there is always something like this is going on, in addition to normal attack everyday increasing. Also there is another dimension Kevin which is more, smaller sophisticated attack which we call Application-Layer Attacks. So this adaptive DDoS which we have come up with that option allows us to go after those activities where the traditional prior solution of War world was mainly, Volumetric Attack. And so we have adjusted our product to some of those newer types of attacks, whether that is because of geopolitical situation or other reasons.
Kevin Liu: Great. Thanks for the responses and collected fiscal year figure.
Anil Singhal: Thank you.
Operator: Thank you. It appears that we have no further questions at this time. I will now turn the program back over to Tony Piazza for closing remarks.
Tony Piazza: Thank you, operator. That concludes our call for today. Thank you for joining and have a good day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.